Operator: Good day and thank you for standing by. Welcome to the NCS Multistage Fourth Quarter 2023 Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded.  I would now like to hand the conference over to your first speaker today, Mike Morrison, Chief Financial Officer. You may begin. 
Mike Morrison : Good morning. This is Mike Morrison. Sorry for the delay. Thank you for joining the NCS Multistage fourth quarter and full year 2023 conference call. Our call today will be led by our CEO, Ryan Hummer, and I will also provide comments. I want to remind listeners that some of today's comments include forward-looking statements such as our financial guidance, comments regarding our future expectations for financial results and business operations. These statements are subject to many risks and uncertainties that could cause our actual results to differ materially from any expectation expressed herein. Please refer to our most recent annual report on Form 10-K and our latest SEC filings for risk factors and cautions regarding forward-looking statements. Our comments today as well as our results of operations included in our earnings release, contain the following non-GAAP financial measures, including adjusted EBITDA, adjusted EBITDA margin, adjusted gross profit and margin, adjusted net loss adjusted loss per share, free cash flow and free cash flow less distributions to non-controlling interest. The underlying details and reconciliations of these non-GAAP measures to the most comparable GAAP financial measures are provided in our fourth quarter and full year earnings release which can be found on our website, ncsmultistage.com. I'll now turn the call over to Ryan.
Ryan Hummer: Thank you, Mike, and welcome to our investors, analysts and employees joining our fourth quarter and full year 2023 earnings conference call. I'll review our performance in 2023 and how our efforts and accomplishments throughout 2023 have positioned us for company-specific growth opportunities in 2024. I'll also outline our strategic objectives for this year. Mike will follow and cover the financial results for the quarter. 2023 turned out to be much more challenging than we had anticipated at this time last year for our industry and for NCS. Activity in the U.S. declined throughout the year with the anticipated bottoming of the rig count slipping further as the year progress. In Canada, while activity started strong in the first quarter of 2023, we observed a similar trend of declining year-over-year activity in the second half of last year. The decline in activity levels and the resulting impact on the competitive environment limited our pricing power, resulting in a year-over-year decline in revenue of 8% in 2023, with revenue declines for each of our U.S., Canada and international operations. In response to the changing market environment, we took meaningful action by consolidating certain operations districts in the U.S. and manufacturing facilities in Mexico. We also reduced head count and aligned our U.S. and international operations teams under common leadership. These actions, along with the tireless work of our supply chain team and technical personnel and tracer diagnostics allowed us to maintain our adjusted gross margin of 39% in 2023, consistent with the prior year despite the decline in revenue. We also proactively reduced our SG&A spend, resulting in a $1.8 million reduction in SG&A expense in 2023 as compared to 2022. A meaningful reduction given the inflationary pressure on wages and the overall cost environment. We expect that our cost reduction actions will result in an annualized benefit of approximately $4 million of which we realized less than half during 2023 due to the timing of those actions. Adjusted EBITDA in 2023 was nearly $12 million compared to approximately $15 million in 2022. We improved our free cash flow performance by approximately $5 million in 2003 compared to -- 2023 compared to 2022. Specifically, we generated $2.6 million in free cash flow after distributions to our JV partner last year compared to negative free cash flow of $2.1 million in 2022. For 2024, we anticipate a further decline in annual average activity industry levels in North America compared to 2023, with activity levels in the U.S. projected to be lower by as much as 10%. We currently believe that activity levels in Canada are not likely to decline by the same magnitude, driven in part by both the TMX expansion and the LNG Canada project nearing completion, which should support activity. This is tempered by possible water restrictions for producers in Canada during the summer months due to ongoing drought conditions and low current water levels. Despite these activity declines, we expect to grow our revenue in 2024 compared to 2023 as a result of the significant progress made in 2023 to expand our presence in new markets and to better align our product and service offering with certain customers, including large independents in the U.S. and Canada, international oil companies and national oil companies. I'll highlight a few of these company-specific efforts and opportunities across our product and service lines.  Beginning with fracturing systems, as previously discussed, we continue to expand our customer base in the North Sea. For 2024, we expect to install or provide service for at least five customers during the year, including our first sleeve installs for two of these customers. In Canada, we recently successfully completed our first fracturing systems job for a targeted application in the oil sands as part of a SAGD development. This work extended from a long-standing customer relationship in their more conventional oil and gas operations. We expect to build on the success for this customer through additional high-temperature applications and will look to replicate the success with other SAGD producers. In the U.S., we successfully completed an onshore trial well with a strategic partner, working to develop a system for use in deepwater environments such as the Gulf of Mexico. This follows successful surface testing completed earlier in 2023. This lease for this trial well were installed in late 2023 with service activity occurring in early 2024. The successful trial validates a new sleeve design and application for NCS, positioning us to participate in the technically demanding deepwater market. In addition, we have a very interesting project plan for the U.S. in the second quarter, whereby a customer plans to install over 200 sleeves in the well to evaluate enhanced recovery strategies for its asset base. This will be the most ever NCS sleeves run in a well in the U.S. and the most ever NCS 5.5-inch sleeves running a well globally. Within well construction, we successfully expanded the operating envelope for our airlock casing buoyancy systems. Building on the voice of the customer to enable operation at higher temperatures, higher pressures and also to accommodate the additional torque enabled by premium connections. In addition, we continue to add new size categories of these systems to meet the very customer applications in the field. We recently introduced our SlimStim refrac liner hanger system at a trade show near Houston. This new technology will enable high-intensity refracs and previously understimulated wells. This product was designed with significant customer input and provides certain contingencies and operational benefits that we believe are unique to our system. We expect to conduct field trials of this system over the next several months. In tracer diagnostics, we expect 2024 to be a year of meaningful growth in international markets. We plan to enter two new markets this year, each of which required additional testing of our chemicals. Testing in one such region is complete, and we expect to complete testing in the other market during the first half of 2024. Perhaps most importantly, we expect a significant expansion of our tracer diagnostics business in the Middle East this year. We are finalizing the details of a multi-pad project, which could position the Middle East to be our second largest tracer market this year, only behind the U.S. At Repeat Precision, we've had good successes as well. A well-respected E&P company decided to run our fracture express system with multiple Permian Basin frac crews after an extensive test of multiple composite cloud providers. The test utilized several different diagnostic tools to evaluate key plugs features such as how well that plugs hold pressure during the frac job, drill out time and wash time. Our work with this customer began last December and is ramping up throughout the first quarter of 2024. On the product development front, Repeat has had initial successful field trials of its pinpoint internally oriented perforating gun system, which is designed to control various oriented perforating patterns of practices becoming more prevalent across the E&P customer base in North America. The pinpoint system maintains the benefits of the purple fire perforating gun systems, which include preassembly and a manufacturing environment, ease of use in the field, reduced HSE risk and compatibility with a customer's preferred shaped charge. I'll provide a quick update on a few legal matters now. Regarding the previously disclosed legal matter in Texas in December 2023, NCS, the plaintiff and our insurance carrier reached a settlement where the insurance carrier agreed to pay the settlement amounts to the plaintiff resulting in no cash payments by NCS. Consequently, we reversed our previously reported litigation provision of $40.8 million during the fourth quarter of 2023. As for the previously disclosed patent infringement case in Canada, the parties attended a mediation meeting in late February 2024. While no agreement has been reached, both parties have expressed interest in continuing with settlement discussions. However, if the settlement cannot be reached, we believe that applicable law supports strong grounds for appeal on the decision. However, the litigation process could continue on for several years. Finally, our goals for 2024 are straightforward and are aligned with the long-term strategy that I discussed at length in last quarter's call. In 2024, we aim to grow revenue in a flat or declining market and improve our adjusted EBITDA margin, all while generating free cash flow. We aim to obtain field trials for our new offerings and successfully enter new markets. We'll continuously improve our employee engagement and ensure workplace safety. And finally, we'll improve our processes and collaboration within the company so that we can be more efficient and effective. Mike will now review our results for the fourth quarter and our guidance for the first quarter of 2024.
Mike Morrison : Thank you, Ryan. As reported in yesterday's earnings release, our fourth quarter revenues were $35.2 million, a 12% decrease compared to last year's fourth quarter. Our Canadian revenues were up by 1%, while our U.S. and international revenues were down 33% and 40%, respectively. Lower natural gas prices in the U.S. negatively impacted customer activity levels, while the timing of activity with our customers in the North Sea negatively affected international revenues. Sequentially, revenues in the fourth quarter decreased by 8%, with Canada down by 11%, International down by 45%, but U.S. revenues increased by 14%. The improvement in the U.S. was driven by higher sales of sliding sleeves and repeats composite plugs. And the decrease in Canada was primarily related to normal year-end seasonality. Our adjusted gross profit, defined as total revenue less total cost of sales, excluding depreciation and amortization expense was $12.9 million in the fourth quarter of 2023, representing an adjusted gross margin of 37%, down compared to our adjusted gross margin of 40% for the same period in 2022. The decline in adjusted gross margin was primarily attributable to an overall decline in revenues and revenue mix, with a larger portion of the client coming from our higher-margin service revenues. Our revenues for the full year of 2023 were $142.5 million, a decline of 8% compared to the full year of 2022. Despite this decline in full year revenues, our adjusted gross margin of 39% was consistent with the prior year. Selling, general and administrative costs were $13.2 million for the fourth quarter, remaining flat compared to the same period last year. For the full year of 2023, our SG&A costs were $56.5 million, a decline of approximately $2 million compared to 2022. For the fourth quarter, we reported net income of $39.6 million or diluted earnings per share of $15.80 compared to net income of $2 million or diluted earnings per share of $0.81 for the same period in 2022. For fourth quarter -- our fourth quarter net income was positively impacted by the settlement of the Texas legal matter resulting in no cash payment by NCS. Excluding this benefit, our adjusted net loss for the fourth quarter of 2023 was $900,000 or an adjusted loss per share of $0.36. Adjusted EBITDA for the fourth quarter was $2.5 million, a decline compared to adjusted EBITDA of $6.4 million for the same period in 2022. For the full year of 2023, our adjusted EBITDA was $11.9 million, a decline of $3.2 million compared to 2022. Turning now to cash flow items and the balance sheet. During the fourth quarter, we generated cash flow from our operations and free cash flow after JV distributions of $6.2 million and $5.6 million, respectively. Our full year 2023 free cash flow after JV distributions was $2.6 million. On December 31, we had $16.7 million in cash and total debt of $8.2 million, which consisted entirely of finance lease obligations, resulting in a positive net cash position of $8.6 million. At the end of December, the borrowing base availability under our undrawn ABL facility was $16.4 million and Repeat had no outstanding borrowings under their promissory note. Turning now to a few points of guidance for the first quarter. We currently expect first quarter revenues in the range of $36 million to $40 million, with the low end of the range, showing a slight improvement sequentially and the high end showing a modest improvement in both Canada and the U.S. We expect U.S. revenues in the range of $9 million to $10 million, international revenue of $1 million to $2 million and Canadian revenue of $26 million to $28 million. We expect our adjusted gross margin to be between 38% and 41%, an improvement to our adjusted gross margin compared to the fourth quarter of 2023. We expect our adjusted EBITDA to be between $3 million and $4 million and our first quarter depreciation and amortization expense to be approximately $1.2 million. With that, I'll hand it back over to Ryan to provide our full year 2024 guidance and for closing remarks.
Ryan Hummer : All right. Thank you, Mike. So our full year guidance for 2024 is as follows; we currently expect full year revenue to be between $145 million and $160 million and full year adjusted EBITDA in a range of $13 million to $17 million. We expect that our revenue growth will primarily result from increased sales of Repeat Precision in the U.S. and in international markets, the North Sea and the Middle East, in particular. We expect gross capital expenditures for 2024 of $2 million to $3 million. While working capital may represent a modest use of cash during the year, we expect free cash -- to be free cash flow positive again during 2024, further strengthening our robust balance sheet and providing us with strategic flexibility. We expect to achieve revenue and adjusted EBITDA growth, even though we believe that the overall market activity will be lower in North America for 2024 than in 2023, reflecting both industry efficiency gains and a cautious view on natural gas-directed activity. We do expect industry spending and activity in markets outside of North America to increase modestly in 2024. And also just with respect to our guidance due to the seasonality of our business and consistent with prior years, we had anticipated that the achievement of our annual adjusted EBITDA guidance range will be weighted to the second half of the year. Before we open to Q&A, I'll close with a couple of brief comments. I'm proud of the way the team at NCS navigated the challenges that we faced during 2023. We made the necessary adjustments to adapt to the market environment, advanced our technology portfolio and remain focused on the business despite several external distractions. We stand to benefit from multiyear investments that we've made to position ourselves for growth in international markets and the efforts to align our company and our technology with certain large customers, including the large independents, international oil companies and national oil companies. We maintained the infrastructure required to support the revenue growth we are anticipating this year. At the midpoint of our guidance ranges, we expect revenue growth of 7%, but we grow our adjusted EBITDA by 25%, delivering strong incremental margins as we leverage our fixed cost base and benefit from the cost reduction efforts we enacted in 2023. The technologies that we are commercializing this year are aligned with the needs of our customers, adding to our portfolio and expanding both our market presence and our addressable market. And finally, we entered 2024 with a strong balance sheet liquidity position. Ending 2023, the cash balance of nearly $17 million. In addition, as we expect to add to that cash balance by generating positive free cash flow again in 2024, we'll have additional financial and strategic flexibility. With that, we'll welcome any questions.
Operator: [Operator Instructions] Our first question comes from the line of Dave Storms with Stonegate.
Dave Storms : You're guiding to a nice growth year-over-year, especially given the current market environment. I know you talked about some of the puts and takes in your prepared remarks. Just hoping you could go a little more in detail on what could be some of the positive upside surprises at the Trans Mountain pipeline? Is it maybe a restrengthening in your mix? Just any more information we could get on that would be helpful.
Ryan Hummer : Yes, absolutely. We'll talk to that at a pretty high level. I think as we were kind of concluding the prepared remarks, the two big pieces for us that we expect will allow us to grow faster than the market as we move forward in 2024, really have to do with Repeat Precision and the customer relationship and opportunity that developed late last year after that extensive testing of the plugs. With that, we're starting to work with the customer on two different crews in the Permian Basin. We expect that could pick up from there a bit further. So that work just started in December, so you get really the full year-over-year impact of that customer win as we move through 2024. The Canadian business, we're expected to be relatively flat year-over-year at this point from a revenue standpoint in a market that's flat to down a little bit as far as potential upsides to the Canadian market. We've talked a little bit in the past around how we're enabling customers to really change the way they do business in certain areas. So we've had some really good wins in the deep basin with customers that are looking at running more sleeves in a given lateral length, so higher sleeve density. And as that sort of program and completion design, if that takes hold with other operators in the region that could be a source of upside for us. There's also a new area that we started working with a customer who's been a long-standing customer across a couple of different companies. Who bought some assets and has a new company, who's pushing more high-intensity and complex completions design in another area of the Deep Basin. So between those and then also upsides in continuing to grow our market share with the PurpleSeal plugs, the Repeat Precision portfolio in Canada, I think there's probably some upside there. But at this point, we're looking at relatively flat year-over-year in Canada and hopefully, you can start to execute on some of that upside to drive outperformance versus the plan. But as far as kind of what's baked into the guidance and the upside in addition to Repeat, which I mentioned earlier, the other big part is international. So with having grown that customer portfolio to five customers that we'll be working with either on an install or service basis, we'll see a nice growth in the North Sea. And then additionally, the growth in the tracer work in the Middle East. We talked before about how we thought that region and one national oil company, in particular could turn into our third largest operating -- opportunity for tracers in time. That's being accelerated a bit and could even be the second largest for us, surpassing Canada and trailing only the U.S. So really, it's flattish baseline in the U.S. with upside from a couple of specific opportunities at Repeat. Flattish in Canada and really executing internationally on the opportunities that we've been really working hard to secure over the last few years.
Dave Storms : And then just one more, if I could. It sounds like you've accomplished a lot of cost savings initiatives over the last year, '23, gave you an opportunity to focus on that. How many more levers do you have to pull here? And I guess kind of what's your appetite to continue working on that?
Ryan Hummer : So you're certainly right that with 2023 and the reduction in activity, especially in the U.S. from a market standpoint that gave us the impetus to really take a hard look at our cost base from an operational standpoint. We did that through consolidating some facilities in the field. And also in the manufacturing work at Repeat that supports our business globally. So we make sure we're running as efficiently as possible. We're going to always be focused on continuous improvement, driving costs out of the system, whether that's working through our supply chain team and engineering to reduce the standard cost of our products or whether it's continuing to take a hard look at every dollar on the SG&A side. But -- what I'll say is we're looking at growing in 2024. Within that, there are going to be some strategic investments that we make both on the capital side and the personnel side to support that growth. So I think it's going to be more of a balanced year from a cost standpoint. We'll be as efficient as we can. But I don't know that we'll be looking to take that same level of cost out of the system as we move forward. We're just going to make sure that we're able to justify and leverage the cost base that we have.
Operator: [Operator Instructions] Our next question comes from the line of John Daniel from Daniel Energy Partners.
John Daniel: This might be a soft question. It's actually not meant to be. But like you talked about some field trials that you've kicked off, I'm curious if you could provide some more descriptive color as to when do you know if the trials are successful in your guidance, do you assume that it's successful and there's growth from that? Or is that potential upside as you think about the next couple of years? Just any color would be helpful.
Ryan Hummer : And internally, we're tracking a significant number of field trial opportunities, and we've got, obviously, different measures of success for each of those. When you get to the field trial stage, you've gone through a pretty lengthy product development effort. You've gone through your manufacturing design effort. And you expect that when you get out in that field trial, there may be some additional earnings as well. So what I'd say is for the things that are within that field trial category, we expect some contribution here in 2023, but not a tremendous amount of contribution. I think it really does more set the stage for the longer-term growth trajectory. So if we execute on those field trials, either we've nailed it the first time when we go straight into production or we make one more iteration and get back out there and it's something that could be more of a revenue generator down the road. . So we've talked in the past, right, we kind of pulled back some of our development effort in 2020 and '21 and ramp that back up in 2022 and '23. And that's really starting to bear fruit. We've got a lot of really interesting technology that we're getting out there, a lot of good customer interaction and engagement around the products that we're bringing to market.
John Daniel: The next one I had Ryan was -- and I apologize, I'm driving, so I wasn't able to write down copious notes. But you talked about getting on two crews. I think it was the Permian you mentioned. When you win that -- what do they see in your product that they like? And how do you spread the gospel if you will, on the success of something like that?
Ryan Hummer : So that customer, I would view them as being one of the technology leaders in the E&P space. And every now and then, they'll do something like they did in 2023, where they take a look at a number of the different providers in a certain space. In this case, it was the frac plugs, and we were one of -- I think it was six or seven different competitors that were evaluated there. As I said, there was a lot of work that was done including fiber optics, tracers and other diagnostic tools for them to determine across a set of performance criteria, right, which plug performed the best. So we're certainly encouraged with the results there and them starting to work with us. And yes, we've kicked off with a couple of crews with them in the Permian. I think there's a chance to grow in that area.  How do you spread the gospel? I think it's internally that customer. They've got some other operating regions as well. That customer is also one that's very -- obviously very well connected in the West Texas community and they're willing to share to some extent, right, why they made some of the decisions they made about going with us long-term. So we're certainly working every angle there and taking that -- the work that was done, right, that sense of sort of testing and technical work that was done by that one customer and making sure that, that can kind of translate and be utilized by more customers in the area to help us grow the business.
Operator: At this time, I'm showing no further questions. I'd like to turn the conference back over to Mr. Ryan Hummer, Chief Executive Officer for closing remarks.
Ryan Hummer: All right. Thanks, Norma. On behalf of our management team and our board, we'd like to thank everyone on the call today, including our shareholders, analysts and especially our employees. I truly appreciate the depth and breadth of the expertise of our people at NCS and Repeat Precision and the passion and effort that our people bring to their work. Our team continues to provide excellent service to our customers and is commercializing new products and services that will enable our customers to be more successful. We're taking on demanding and technically challenging work in delivering results. We appreciate everyone's interest in NCS Multistage and we look forward to speaking again on our next quarterly earnings call.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect. Everyone have a wonderful day.